Operator: Good afternoon. My name is Mason and I will be your conference operator today. At this time, I would like to welcome everyone to the Stericycle first quarter 2010 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions) Thank you. I’d now like to turn the call over to Ms. Laura Murphy, Vice President of Corporate Finance for Stericycle. You may now begin.
Laura Murphy: Welcome to Stericycle's quarterly conference call. Joining me on today's call will be Frank ten Brink, CFO; Rich Kogler, COO; and Mark Miller, CEO. I will now read the Safe Harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks, and should be viewed with caution. Factors described in the company's Form 10-K, 10-Q, as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events, or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Frank.
Frank ten Brink:
 : Gross profit was $155.3 million or 46.3% of revenues. Excluding the regulated returns management services restructuring cost, the gross margin would have been 46.5%. SG&A expense was $66 million or 19.7% of revenues. Net interest expense was $8.9 million, and the net income attributable to Stericycle was $48.1 million or $0.56 per share on an as-reported basis and $0.57 adjusted for after-tax transaction expenses related to acquisitions and restructuring costs. At the end of the quarter, the revolver borrowings were approximately $405 million, which is floating at LIBOR plus 75 basis points. The unused portion of the revolver debt at the end of the quarter was approximately $251 million. We repurchased 207,114 shares of common stock on the open market in an amount of $11.3 million, of which cash in the quarter to settle was $10.6 million. Cumulatively, we have repurchased approximately 13.4 million shares, and we still have authorization to purchase an additional 2.8 million shares. Our capital spending in the quarter was $12.8 million, the DSO in the quarter was 51 days, and the cash provided from operations was $81.1 million for the quarter. And I will now turn it over to Rich.
Rich Kogler: Thanks, Frank. Our team delivered strong results worldwide highlighted by the following areas. We continue to see growth of our small quantity service offerings, and we increased adoption of our reusable sharps management and pharma waste services. We experienced a solid recall quarter, and all the countries delivered strong operating performance. I want to take this time to thank each member of our worldwide team for their solid performance and continued commitment to our customers and shareholders. I’ll turn it over to Mark.
Mark Miller: Thanks, Rich. I’d now like to provide insight on our current outlook for 2010. And please keep in mind that these are forward-looking statements. At the end of the first quarter, we completed six acquisitions, two domestic and four international. The annualized revenue of these six acquisitions is over $37 million. Keep in mind our guidance does not include future acquisitions, divestitures and the related transaction expenses, but our guidance does include these items for the MedServe transaction we spoke about in the last call. We believe analyst EPS estimates will be in the range of $2.38 per share to $2.44 per share, which we are comfortable with. And please note that this guidance includes approximately $0.04 per share negative impact from the acquisition integration expenses for MedServe. We believe analyst revenue estimates for 2010 will be in the range of $1.35 billion to $1.38 billion, depending on assumptions for growth and foreign exchange. And we believe analysts will have estimates for net income between $206 million and $211 million depending on assumptions for margin improvement and interest expense. We believe analysts will have estimates for free cash flow of between $245 million to $255 million, with CapEx anticipated between $45 million and $50 million. In closing, we are very excited about the tremendous growth opportunities in 2010 and beyond. We thank you for listening to our prepared comments. And we’ll now answer your questions.
Operator: (Operator instructions) Your first question comes from the line of Jonathan Ellis from Bank of America/Merrill Lynch. Your line is now open.
Jonathan Ellis – Bank of America/Merrill Lynch: Thank you. Couple of housekeeping items. First, can you provide the total number of SQ and LQ accounts as of the end of the quarter?
Rich Kogler: Yes. The total number of SQ account – the total number of accounts is just slightly over 465,000, about 12,000 LQ and the remainder is small.
Jonathan Ellis – Bank of America/Merrill Lynch: 12,000 LQ, okay. And then the total number of Steri-Safe counts in percentage on higher levels?
Rich Kogler: The number of accounts is over 443,000 currently, and the amount on higher levels is about 33.7%.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. And do you have also an update on the push in new accounts that’s signed up for one of the higher levels of Steri-Safe?
Rich Kogler: We are looking at over 80%.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. And then do you have –typically you provide the number of new contracts for LQ and biosystems in the quarter.
Rich Kogler: Yes. The LQ contracts were 57 in the quarter; biosystems, 73.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay. Okay, great. Just the international acquisitions, could you talk about where they were this quarter?
Frank ten Brink: Yes, there were four international acquisitions. One in Brazil, our entry into Brazil; there were two transactions in the United Kingdom; and one in Chile.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay. And the $37 million of annualized revenue, can you give us some sense – is that more weighed to the international acquisitions this quarter versus the domestic?
Frank ten Brink: Yes, the international was a bigger portion of that.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. And the six companies you are acquiring in total, are they all traditional medical waste companies or any of them providing other service lines?
Frank ten Brink: Yes. The domestics were all tuck-in. Brazil was a med waste, and yes, they were all tuck-in acquisitions.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay, great. Just if you can provide an update on the MedServe integration? Is – where does that stand in terms of facility consolidations and re-routing? Can you provide us a status report there?
Rich Kogler: The integration remains on track. As we said, we would take the early part of this year and through the summer to complete it. We are on track with our original plan. We still believe that there is $0.02 accretion once the integration is completed in the back half of the year.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay. And then just my final question is, when you look at – now that you sure had some chance to really delve into the books of MedServe and look at the account base. Are you noticing any difference between the pricing for MedServe customers versus Stericycle customers that are receiving similar equivalent services?
Rich Kogler: No, not really.
Jonathan Ellis – Bank of America/Merrill Lynch: Okay. Great. Thanks, guys.
Operator: Your next question comes from the line of Scott Levine from JP Morgan. Your line is now open.
Rodney Clayton – JP Morgan: Hi, guys. This is actually Rodney Clayton. Good afternoon.
Frank ten Brink: Hello, Rodney.
Rodney Clayton – JP Morgan: So first question, on the margins, just looking to get a little more color there. Looks like margins may have eased a little bit versus the last couple of quarters. Can you give us some color on what’s maybe driving that, if it’s full or anything else in the quarter that may have impacted it?
Frank ten Brink: Yes. So the most important factor, first of all, is the impact of the acquisitions that we did in the fourth quarter, specifically MedServe, and then the acquisitions we did ongoing also in the first quarter. Those reduced, kind of if you start from the fourth quarter, the gross margin by about 66 basis points just by mix. And obviously we also had a very strong quarter with the recall and returns management group. The mix there impact was about 22 basis point, and then the normal business was up roughly in the 20 basis points.
Rodney Clayton – JP Morgan: Okay, got it. That’s helpful. On the pharma waste rollout, can you just give us a general update on how that’s progressing? I think on the last call you indicated you are rolling out in most of your geographies, but not all. Is that still the thought process there?
Rich Kogler: Yes. I think we’re still in the first innings of that. We talked about it on last couple calls, and while we offered most geographies, we are not quite in all yet. We’re very excited. I mean, the customers are excited by it. It fulfilled the regulatory requirement that they have. And we think our skill sets, the kind of experience we have been dealing with large quantity customers positions us to do well in this market. The – as I think we’ve said perhaps on the last call, just the domestic market size for this is probably equivalent to biosystems. And of course, it has applications in international markets too.
Rodney Clayton – JP Morgan: Okay, got it. On the MedServe deal, the divestiture that you are planning, is there any update there on maybe timing or what you expect there?
Rich Kogler: We are expecting it to close in Q2.
Rodney Clayton – JP Morgan: In Q2. Okay, that’s helpful. And then finally, can you give me a leverage calculation for your covenant?
Frank ten Brink: The debt was 2.39 on a debt-to-EBITDA that was down from 2.51 at the end of the fourth quarter last year.
Rodney Clayton – JP Morgan: Okay, great. Thanks a lot, guys.
Operator: Your next question comes from the line of Al Kaschalk from Wedbush Securities. Your line is now open.
Al Kaschalk – Wedbush Securities: Good afternoon, guys. Frank, could you add how much in the quarter acquisitions contributed to the top line and that that was accretive or neutral?
Frank ten Brink: Yes. There was $3 million. It was accretive. The revenue for the year for ’10 is going to be about $31 million. And then annualized basis, as Mark said, little over $37 million.
Al Kaschalk – Wedbush Securities: Okay. And then on the returns business, I realize it’s a lumpy, very unpredictable ticket when you can get it. How would you characterize the start of the year for what you see for the balance of the year in terms of the revenue guidance in particular?
Rich Kogler: Yes. We’re maintaining guidance, as we had been before, about $70 million to $90 million. And the delta there really is the number of recalls and the size of recalls. We do believe our awareness campaign is working. We are pleasantly surprised to see that the number of recalls are up, and obviously in Q1, we had a couple large ones.
Al Kaschalk – Wedbush Securities: I would like to drill down on the UK for a moment. Are you able to give us the split between SQ and LQ for that particular market?
Rich Kogler: Yes, it’s still in the high-20s, approaching 30%.
Al Kaschalk – Wedbush Securities: 30% is –
Frank ten Brink: That’s the SQ.
Rich Kogler: SQ.
Al Kaschalk – Wedbush Securities: Thank you. And then finally, I’ll hop back in queue, how should we read the acquisition in Brazil? I think, Frank, you had mentioned that it was an entry, but how are you – as you look at your – maybe this is more for Mark, but – as you look out at the international business, I think strategically you’ve talked about building sort of a franchise or a platform and then adding on. But is this an aggressive start to Brazil or is this an entry point that will take further time to plan out? So if you could just maybe comment or update us on how would this rollout into the international front is going?
Mark Miller: Brazil, for us, was a very good entry. It’s a large and growing market. This was one of the bigger companies in Brazil. We took a 70% interest because the existing owners are still very active and engaged in helping us grow. We see really good growth opportunities in it. And it has the plans and infrastructure. So we see it as a very exciting opportunity and a very good market for us.
Al Kaschalk – Wedbush Securities: If I may just add, sorry, just an update, on acquisitions, and particularly once where the owners may stay involved, are the deals structured for potential earn-outs or is that not part of the program?
Mark Miller: Typically there is a variety of factors that are implied that sometimes there are options agreements, there is ability for increased ownership triggers on our part, and it varies by transaction.
Al Kaschalk – Wedbush Securities: Okay. Thanks a lot.
Operator: Your next question comes from the line of Ryan Daniels from William Blair & Company. Your line is now open.
Ryan Daniels – William Blair & Company: Yes, thanks. Frank, I guess a quick follow-up question for you just on the MedServe integration expenses. If I’m looking at it correctly, it looks like you had about $1.1 million in the quarter, roughly $0.01 in EPS. And I know you said it – you're still considering it probably costing $0.04 overall to integrate. Should we think of the additional $0.03 primarily coming in Q2 or will that be spread out in Q2 and then maybe a little bit of a tailwind in the third quarter as well?
Frank ten Brink: It will be spread between Q2 and Q3, and then definitely later in Q4.
Ryan Daniels – William Blair & Company: Okay. But could it continue into the fourth quarter just modestly?
Frank ten Brink: Very small.
Ryan Daniels – William Blair & Company: Okay, great. And then any update on the status of the recall facility consolidation? Was that actually completed? I know you had some small restructuring charges? But is that down or will that also spill into the second quarter?
Frank ten Brink: No, the restructuring is on track. There will be some cost in Q2, and that will then also take route.
Ryan Daniels – William Blair & Company: Okay, great. And then maybe a little bit broader comment, just update on some of your OUS activities or growth initiatives, both in regards to maybe more actively cross-selling – I guess, initially selling into the small quantity business? And then second part of that would be cross-selling some of the clinical services or thoughts on maybe rolling out biosystems in larger markets like the UK. Any color there would be great.
Mark Miller: I think we continue to see opportunities to roll out. As you’ve heard us talk about in the last call, the clinical services offering in Canada continues to go very well, as we move that in. But if you really think about the opportunity for Steri-Safe, on a worldwide basis, we are still only about 30% of our customer base today on some type of program. And on the biosystems, we are about less than 20% that are on reusable charts program. So we see those cross-selling opportunities is still a very big growth runway for us.
Ryan Daniels – William Blair & Company: Okay, great. And then one final one, I don’t know if you’re going to want to go into detail here, but I’m just curious if you’ve really kind of mapped up the revenue model on the pharmaceutical waste management. Obviously, talking about the market being similar, larger than biosystems, I assume the pricing is going to be pretty similar there as well. So I guess the question is, are you seeing a variation on how customers use that? Meaning, some want a full in-service model where you are there categorizing the waste, taking it offsite etc. where so much is consulting services. Is there a big deviation or is it a pretty standard model?
Rich Kogler: What I’ve seen at this point is similar to biosystems and similar to a majority of services we provide. Customers want us to help them with non-healthcare related compliance issues. And so what we’ve seen is that we have that unique skill set. Because of biosystems, we are already inside of many of these hospitals. We know how to train because we’ve been training our customers since day one and how to comply with RMW and everything else. So I think there is not huge variability in how the model is accepted or demanded by the customer. It’s really one where they want this thing taken off of their back. And again, because we have the experience, we really can kind of favor things to meet their needs. That’s how we do it.
Ryan Daniels – William Blair & Company: Okay, perfect. Thanks a lot, guys.
Operator: Your next question comes from the line of David Manthey from Robert W. Baird. Your line is now open.
David Manthey – Robert W. Baird: Thank you. Good afternoon. In the annual this year, you talked about your priorities being domestic and international growth and it gets pretty clear. And then you also talked about profit growth and service innovation. I’m wondering – and I guess the service innovation you are touching on some of these new – the pharma returns and so forth. But could you touch on profit growth? You mentioned streamlining operation. I’m just wondering if there are some initiatives there and what we should expect to see from those initiatives.
Rich Kogler: Yes. I mean, we’ve been – I think I have to actually compliment my team. It’s not we, the people in this room, but the folks in the field have done a tremendous job over the years of continually refining our operations and driving efficiency. And you’ve seen us weather all kinds of headwinds because of their work. What we have now throughout the whole organization, both domestically and international, is an ongoing continuous improvement program based on lean principles and other guidelines like that that helps give us sort of a common language for driving those efficiencies. So that’s when – when we reference that in the Annual Report, we are referring to the fact that in every part of the company, in every location, people are focused on continuous improvement to drive operating efficiencies, and more importantly, they are focused on what we call customer first. So do the best that you can for a customer and do it efficiently as you can.
David Manthey – Robert W. Baird: Okay. So nothing externally measurable right now?
Rich Kogler: I don’t think I understand your question.
David Manthey – Robert W. Baird: I’m just saying in terms of – is there a dollar amount that you’re trying to ring out of those – the streamlining operations, that sort of thing, or is it just sort of continuous improvement?
Frank ten Brink: Well, the continuous improvement obviously shows – if you again look at the downtick in the economy and everything and how we have weathered that, if you look at some of the periods of time when we keep improving margins even with severe headwinds, all those kind of factors show that our people are able to continuously improve and stay ahead of that curve.
David Manthey – Robert W. Baird: Got it. Okay. And then final question, on – as you got MedServe in here and you’re looking at it, speaking of these service innovations, are there competencies or services at MedServe that you’ve discovered, that you think you can broadly provide across the Stericycle organization?
Rich Kogler: MedServe had some unique offerings tailored to SQ market, which we are looking at evaluating and integrating. They also had hazardous waste capability, which was something that was attractive to us as we moved into the hazardous and pharma waste space across the country. Those are the areas that we are focusing on right now.
David Manthey – Robert W. Baird: Okay, thank you.
Operator: Your next question comes from the line of Scott Schneeberger from Oppenheimer & Company. Your line is now open.
Scott Schneeberger – Oppenheimer & Company: Thanks. Good afternoon. I want to first jump off – in Brazil, what part of Brazil are you in? How much of the country are you covering with this acquisition?
Mark Miller: The acquisition covers many of the major marketplaces in North Recife. As you go to the south area, Sao Paulo area, and other parts are still developmental markets, but primarily the north central.
Scott Schneeberger – Oppenheimer & Company: Okay. And you mentioned it was one of the larger consolidated med waste companies. Can you give us a feel for how that market works, how many are larger than you, how many are in the same ballpark with this acquisition, and just a feel for the Brazil market overall? Thanks.
Mark Miller: It’s extremely fragmented. And this was one of the larger ones that had multiple facilities in multiple locations.
Scott Schneeberger – Oppenheimer & Company: Okay, thank you. And just a sense of how much treatment it is, is the treatment facility – again, one of the larger ones there, how many treatment facilities do you have? And is the – are the regulations quite similar to the US?
Mark Miller: There are three facilities. Regulation is not too dissimilar, but emerging predominantly today more large quantity that emerging regs that there really isn’t good local data that you just look at the opportunity based on healthcare delivery system and the market. We think it could be well in excess of $0.5 billion.
Scott Schneeberger – Oppenheimer & Company: Great, thanks. And real quick one, Chile earthquake, any impact to operations, any disruption, facilities damaged, anything –?
Mark Miller: Actually those of you followed Chile, we had a plant in Concepcion that was impacted. Luckily, for us, not much damage to the plants to an extreme level. What I was really, really proud of is the operating team locally was able to scramble and get supplies and services to the plants and to their people. Some of our employees actually had severe damage to their homes. And again, the team pulled together across the world. The Stericycle folks kicked in money to help rebuild their homes and help them get back on track. So really a first-class effort by everybody in the local operations, and we were very impressed how quickly they recovered from a very dramatic natural disaster.
Scott Schneeberger – Oppenheimer & Company: Great, thanks. Acquisition, just one more on that, domestically and internationally, could you just give a sense of LQ/SQ mix? Thanks.
Frank ten Brink: You mean, on the ones that we had just acquired?
Scott Schneeberger – Oppenheimer & Company: Exactly. In the current quarter, yes.
Frank ten Brink: Yes. So domestically, about a 50/50 split. And internationally, it was larger on the large quantity generator.
Scott Schneeberger – Oppenheimer & Company: Similar to other international mix?
Frank ten Brink: Yes. So the international, we had more on LQ than we had on SQ.
Scott Schneeberger – Oppenheimer & Company: Great. Has it generated about 80% or I think you said maybe 70%? It’s similar to that, Frank?
Frank ten Brink: It’s probably closer to the 70%.
Scott Schneeberger – Oppenheimer & Company: Okay, thanks. And then one more if I could. The – well, two more, sorry. The RMS that you mentioned large in the quarter, a few large coming through the pipeline in the quarter, how much of that is going to persist into the second quarter?
Frank ten Brink: Again, it will continue to be a very uneven business. It’s very unpredictable. Even for the second quarter, you don’t have much visibility till the end of that quarter. So again it will remain an uneven business, but we are very proud of them, of the volumes and the momentum overall with FDA and consumer protection is favorable. The environment for that part is getting tighter. People are getting more fines. And all that facilitates a better environment for us on the recall side.
Scott Schneeberger – Oppenheimer & Company: Okay, thanks. And then finally, you hadn’t mentioned it in the previous question about gross margin, was energy impactful on the top – surcharges on the top or the gross margin line? Thanks.
Frank ten Brink: It was really immaterial in the quarter. So from that point, if you look at the fuel, we had higher fuel, but that was really offset by lower energy in the quarter. There was always a little bit of timing lag, but the year-over-year growth rates were not materially impacted.
Scott Schneeberger – Oppenheimer & Company: Thanks very much.
Operator: Your next question comes from the line of Jason Rodgers from Great Lakes Review. Your line is now open.
Jason Rodgers – Great Lakes Review: Hi. My questions are basically answered. Just on the energy cost, what was the percent of sales in the quarter?
Rich Kogler: Percent was 5.3%.
Jason Rodgers – Great Lakes Review: Okay. That was it. Thank you.
Operator: Your next question comes from the line of Michael Hoffman from Wunderlich Securities. Your line is now open.
Michael Hoffman – Wunderlich Securities: Thank you. Good afternoon. When should we expect the 10-Q to be filed?
Frank ten Brink: The 10-Q will be filed probably around the 13th, 14th.
Michael Hoffman – Wunderlich Securities: May 13, 14. Okay. And then on the customers, the 465 breaks down 453 SQ, 12 large Q. Can you break that US/international for us?
Frank ten Brink: No, we don’t break it international and domestic.
Michael Hoffman – Wunderlich Securities: On the Steri-Safe, what percent of your addressable customer base have you penetrated at this point?
Frank ten Brink: Little bit over 43% – 43.9%. But that is just the domestic number. If you look at worldwide, it’s only 31%.
Michael Hoffman – Wunderlich Securities: Okay. So back to the other question, it would be helpful to understand that sort of what’s the customer mix in those two markets on the small generators.
Frank ten Brink: I think there is a lot of opportunity left, because of the customers that are on the program, on the select and preferred, that’s only 33.7% of those customers that we have on Steri-Safe. So again, Steri-Safe is a three-legged stool. New customers coming in, signing them up for the higher levels, existing customers to get them into and then they start at the entry level, and then up-sell them. And just for everyone’s information, the up-selling is very powerful. So a premium level customer is almost six times more lucrative for us because we get about $700 maybe to a $1,000 more in revenues from them, whereas in entry level – for just the standard entry level for the training is maybe like $200, $250 more. So again, it’s not just the people that are on the program, but then also the mix of people within the program. And there are opportunities on both sides to expand with customers that are not yet on domestic and international, as well as the up-selling, which is a huge opportunity for us though.
Michael Hoffman – Wunderlich Securities: Fair enough. In the quarter, the cash from ops was pretty big on the benefit of working capital. Should we see some of that smoothing the working capital shift, or how much of that is permanent?
Frank ten Brink: Well, I’m very proud of the team on the collection side. Obviously we had a very strong quarter also on the recall side. So that’s where the receivable increase was. But the one day off again on DSO that continuously had been able to reduce that and will continue towards that, Michael. I don’t think there is an end yet for that.
Michael Hoffman – Wunderlich Securities: Okay. So if I understand that, clearly some of it is related to mix, but a piece of it is permanent.
Frank ten Brink: No, because the permanent part, if you have a recall that is very large, Michael, that obviously if you have a slow one in the next quarter, you’re going to get that working capital come back to it.
Michael Hoffman – Wunderlich Securities: Okay. And then on the acquired revenues, the $31 million for the contribution in 2010, can you give us a little better feel for the split between domestic and international so we get the model right?
Frank ten Brink: I think right now we are at about 24% in this quarter. So everything depends little bit on foreign exchange rate since if we now get a full quarter of the internationals to come in, it will eke up a little bit, maybe like to the 25%, but then it will depend, again the growth rates are not that dissimilar between the two. So it depends again on acquisitions, which we don’t include in our guidance.
Michael Hoffman – Wunderlich Securities: Right. And then on this continuous improvement program, is there a target G&A number you would like to be at?
Frank ten Brink: If you look at the overall SG&A, I think that’s one that at the end of the year was the integration being completed. You really should look at kind of the mix 19% kind of range, and then it’s going to come down a little bit from that, especially after the integration of MedServe is complete.
Michael Hoffman – Wunderlich Securities: Okay. Thank you very much.
Operator: (Operator instructions) Your next question comes from the line of Richard Skidmore from Goldman Sachs. Your line is now open.
Richard Skidmore – Goldman Sachs: Good afternoon. Just a couple of follow-ups. First, on the Steri-Safe, can you talk to whether the pace of up-selling and your success rates are accelerating or decelerating?
Rich Kogler: I would say that they are acceleration because two reasons. One is obviously the sales force gains we experience every month that we continue to sell, and I think also the word is getting out that the program provides a very good value. And we kind of see that acceleration was a fact that over 80% of customers go right into the upper levels when they call in for new service.
Richard Skidmore – Goldman Sachs: And as a result of that, are you putting more labor towards that, or how should we think about the opportunity to really accelerate that going forward?
Rich Kogler: Well, we tend to follow the strategy of feeding het hard hand, which is why you will see our SG&A move around a little bit in terms of tens of percent. In this case, we are definitely making sure that we are fully staffed to take advantage of the experienced sales force that we have and the customer demand.
Richard Skidmore – Goldman Sachs: And then just if I might ask a couple of questions about acquisitions, just in terms of the pipeline that you see going forward, how would you categorize it? And then where do you – if you break it down into more subcategories in terms of size, geography, end markets that you're focused on, just help us understand a little bit better what you see out there on the acquisition front.
Frank ten Brink: I think the pipeline is definitely north of 50 million for the North American market and north of 100 million worldwide.
Richard Skidmore – Goldman Sachs: And is there a target for 2010 to come from acquisitions?
Frank ten Brink: No, we don’t have targets. We do them when the deals are right.
Richard Skidmore – Goldman Sachs: Okay. And then have you closed any acquisitions in April?
Frank ten Brink: And we don’t disclose until quarters are over.
Richard Skidmore – Goldman Sachs: Okay. Thank you.
Operator: Your next question comes from the line of Jason Rodgers from Great Lakes Review. Your line is now open.
Jason Rodgers – Great Lakes Review: Thanks for taking the follow-up. I was just wondering what your plans are for the MedServe’s OSHA compliance program, if you're planning on continuing that or getting rid of it or what?
Rich Kogler: We are looking at that. That was probably an earlier question about some of those valuated programs that came over. They had a program that t emphasized the HIPAA compliance. Probably if I were looking out in my crystal ball, I would say that we would integrate the best of all the programs because that’s what’s going to be most desirable and attractive to our customers.
Jason Rodgers – Great Lakes Review: Okay, thank you.
Operator: There are no further questions at this time. I’ll turn the call back over to you.
Mark Miller: I thank everybody for your time and patience. And we look forward to having another great quarter when we talk in Q2. Take care, everyone.